Alan Jackson: Ladies and gentlemen, before we actually kick off we've got a bit of a special announcement. I want you to all keep cool, calm and collected. It's not a usual announcement. It's quite a special announcement, I suppose. So perhaps we could see the impact of that particular announcement. It's going to be up on the screen, so you can applaud.
Mor Weizer: Thank you, Richard Skelhorn, for nominating me for the ALS ice bucket challenge. Of course, I will answer the challenge and will participate for a great cause, given that it has a personal touch as my grandmother died from ALS. Now, as you can imagine, in the last 24 hours there was the two things I was most focused on were the preparation for this interim and who do I challenge and who do I nominate? So the three people I nominate are Richard Glynn, the CEO of Ladbrokes, David Baazov, the CEO of Amaya, and Alex Latner, a BLP partner.
Alan Jackson: Probably what you'd all like to be reassured; that that was actually cold water. Maybe we should just bring a bucket in and try it again. Anyway, good morning, ladies and gentlemen, and welcome to Playtech's 2014 interim. I'm Alan Jackson, as I'm sure you know. My colleagues, Ron, and the man with the ice bucket, Mor. So what I'd like to do, just very quickly, is run through the highlights, which I think are quite exceptional. These guys have got some absolutely fantastic results. Revenue up 21%. €214.4 million. EBITDA up 28% to nearly €98 million. Adjusted profit up 45% to €96.8 million. And EPS up 45% to €0.33 a share. Incredible - absolutely incredible. I would say that, wouldn't I? But they are. You can see. You can see the track. You can see the direction that these guys have actually achieved. It really is a privilege for me to be able to announce those results. We paid GBP100 million special dividend in the first half. And an interim dividend of €0.89 per share is the recommended, final dividend. So really it's a great business. And I, as I say, am very privileged and feel very excited about the future-growth opportunities. And you'll hear all those from Mor and from Ron in a minute. So really that's just a very quick overview of some tremendous results. So if I now hand over to Ron to take you through the figures. There's no bucket of water around, so you're safe.
Ron Hoffman: Thank you. All right. Good morning, everyone, and many thanks, Alan. We reported this morning another outstanding financial performance for the first half of the year, driven by several achievements and factors positively impacting a variety of areas across the business. These include significant growth in sports for both web and mobile, boosted by the World Cup, but also reflecting the continued focus of the Company in this vertical. Strong growth in mobile casino, continuing the growth trajectory that surfaced for the first time around last year. And a consistent growth coming from new business, alongside already signing significant, structured agreements in regulated markets, positioning us well for future growth. Looking at the headline figures, revenue increased over 21% to €214 million; an all-time high for any six month period, even when comparing to historic growth income results, which included the share of profits from William Hill Online. It's also pleasing to note that the second quarter of 2014 grew approximately 9% over the first quarter of this year; over four times the q-on-q growth rate in the comparable period in 2013. Adjusted EBITDA, which increased by 28%, and above the revenue growth rate, was complemented by several factors which resulted in a higher operational margin for the business, including reduced revenue driven costs, the appreciation of sterling versus euro, acquisitions and other factors. The difference between the growth rates of adjusted EBITDA and adjusted profit was mostly due to exchange-rate gains on sterling cash held, which benefited approximately €11 million to adjusted profit in the first six months of the year. It is important to note that for proper comparison of the financial performance, both adjusted EBITDA and adjusted profit in a comparable period are excluding the historical William Hill Online share of profits received for just over three months of H1, 2013. When stripping out the contribution from acquisitions made in the last 18 months, the majority of which being PokerStrategy, which was acquired in July 2013, total revenue from new and existing business increased by an impressive 14%. Adjusted EBITDA increased 20%. And adjusted profit by 36%. Even when stripping out the favorable effect of currency-exchange rates, revenues, adjusted EBITDA and adjusted profit were up 12%, 18% and 17% respectively. An impressive, double-digit growth of the underlying business across all key metrics. When further breaking down the growth in revenue, organic growth contributed approximately €14 million of revenue, reflecting approximately 8% of growth. New business, being new licensees or new products launched in the previous 18 months, contributed an additional €10 million of revenue, or approximately 6% of overall growth. And the remaining growth of approximately €14 million generated as the result of acquisitions. Now looking at revenue breakdown more closely, our flagship casino vertical again grew strongly, up by 29% to €116 million. And up 10% on the first quarter of 2014. Q2 growth accelerated compared to Q1, driven by mobile, new business, included Ladbrokes, Gala Coral, Paddy Power Live and growth in Asia. I will give more details on casino in the next slide. Sequentially, casino was up 17% on H2, 2013. Services were up 19%, with approximately €14 million contribution from acquisitions, broadly offsetting a 7% like-for-like decrease, which is mostly reflecting the effect of licensees transitioning their dotcom activity from certain markets. It is important to indicate that when comparing to the second half of 2013, services revenue increased by 3% both when including and excluding acquisitions, showing a positive trend in this important vertical. We see this trend continuing onwards, given the significant, new structured contracts recently signed, as securing those transactions were highly reliant on the services division being a key constituent and the significant, potential earnings related to them. Bingo revenue was approximately €8 million, down 9%, impacted by certain large licensees opting to take further product verticals. And the associated change in royalty structure and reduced marketing, which was partially mitigated by an appreciation of sterling against the euro. Mobile bingo accounted for 13% of total bingo revenue. And bingo side games, which are reported under the casino line item, contributed an additional €6 million, representing a total bingo contribution of approximately €14 million. Sport revenue was up by 35% to €12 million for the six-months' period, driven by the World Cup and the addition of our mobile sports offering to Ladbrokes, which reported significant mobile growth over the first six half -- the first half. Mobile sports, which currently makes up 85% of the sports vertical, increased by 31%, while web sports grew 57% driven by the World Cup and the addition of Ladbrokes in Spain and Belgium. The growth trend for these product verticals on both web and mobile is projected to continue, as further business wins continue. And the importance of this vertical to the structured agreements recently signed in both Italy and Mexico. Land-based revenues, which included video-based, IGS Casino Management and retail betting and games, contributed approximately €6 million, a marginal improvement over the prior year. The number of terminals outside the UK grew by over 1,150, partially offsetting a drop in UK machines as a result of the Global Draw customer exiting their agreement, and shop closures by some larger operators. Revenue from the UK represents 71% of total revenue, compared to 83% in the prior year, reflecting increased diversification. The effect of potential tax changes in the land-based activity in the UK due to be implemented in March 2015 is expected to be de minimus to this line item. Looking more closely at casino the majority of growth, almost 20% of the -- out of 29%, was produced in core casino, which comprises slots, roulette and table games on web. As a result of growth in new business, such as Ladbrokes, which contributed not only to core casino but also to mobile casino and continued growth in Asia. Mobile casino enjoyed a significant uplift of 94% and was the strongest-growing segment in the first half. LIVE continued to grow strongly, due to new licensees such as Paddy Power and Ladbrokes, the launch of new private tables by certain licensees and continued growth in Asia. Mobile revenue across all product vertical grew a strong 56% over the six-months' period to €22 million. Mobile sports revenue increased 31%, mainly as a result of the addition of Ladbrokes and the World Cup. Mobile casino, which is now almost as large as mobile, contributed over €10 million, almost double the comparable period, driven by player adoption of mobile gaming. Mobile bingo and poker remain small, but still present a potential for future growth. An additional five licensees are now generating in excess of €5 million in annualized revenue, while almost a quarter of our licensees now generate more than €2 million a year, demonstrating the strength of our offering, the quality of the customer base and increased diversity. The improvement in concentration among the top two and top five licensees was a result of certain licensees refocusing on their withdrawal from certain unregulated markets and the transition to regulated markets. An effect which was positively mitigated by strong growth from other operators, resulting in a significant reduction in the reliance of the top licensees, reflecting further diversification of the business and therefore reduced risk. This trend is expected to continue as the long-term transition to regulated markets evolves. And as Playtech continues to deliver on its strategy including further licensees and structured agreements in regulated jurisdictions. Turning to EBITDA margin, which was up 240 basis points to 45.5%, we believe the current margin level is sustainable, but has the potential to further increase in the future due to operational leverage. As revenues continue to grow, such growth provides the Company the ability to invest in areas, which will drive future growth. And generate new revenue streams, which will balance the margin-increase effect. The main drivers for the increase in margin are the following. Increased rate of capitalized development costs to 15%, as indicated at the yearend results release, contributing 80 basis points to margin, mainly attributable to new content, the Coral Connect multichannel solution, mobile, portal and other innovative solutions. The appreciation of sterling versus the euros contributed 60 basis points. The reduction of revenue-driven costs discussed on the next slide contributed 30 basis points. The acquisition of PokerStrategy, which runs on a slightly higher margin than the rest of the Group, added 30 basis points. And some one-off, non-recurring costs in the prior period, which decreased the prior period EBITDA margin by 40 basis points. Total adjusted operating expenses increased by 16%, mainly due to the acquisition revenue driven costs, which are mostly direct marketing costs related to PTTS activities. And fees paid to third party IP owners and branded content decreased, partially due to the acquisition of Euro Live, which resulted in certain costs that were allocated to revenue driven costs and were on-charged to licensees to be reallocated across fixed costs. In addition, this line item was affected by the buy-out of reseller rights at the end of 2013, alongside growth in revenue which are not directly correlated to revenue driven costs. Employee-related costs were almost €63 million, up 26% over the prior period, mostly as a result of the acquisition of PokerStrategy and the reallocation of costs from Euro Live. Excluding acquisitions, this line item was €56 million or 60% of adjusted operating expenses when excluding revenue-driven costs, which is in line with historical levels. And in line with the growth of the underlying business. Cost of services increased, mostly due to additional dedicated teams which have grown due to increased demand from large licensees to have a number of people working on specialized development, giving life to enhanced revenue generation for Playtech. And timely development to our customers, which are then benefiting all Playtech licensees. Additional administration and office costs were incurred as a result of the -- or were increased as a result of the acquisition of PokerStrategy, which has offices in Gibraltar and Hamburg. And costs relating to new offices in the Ukraine and Israel. Travel, exhibition and marketing costs remained stable, as a result of cross-targeting initiatives implemented by the Group. Moving to cash flow, Playtech continues to be a highly cash-generative business. In the six-months' period the Group generated approximately €99 million from operating activities, reflecting continued high conversion between cash from operating activities and adjusted EBITDA. The Group cash outflow from investing activities was approximately €61 million, consisting of acquisition payments of approximately €30 million, of which €28 million related to the final payment for PTTS. Other includes €13 million of capitalized development cost and €11 million as CapEx. Cash outflow from financing activity was almost €211 million, mostly comprising €121 million for the special dividend distributed earlier this year; €45 million as final dividend for 2013, in accordance with the 40% dividend-payout policy. And around €49 million in purchase of shares for the establishment of an employee-benefit trust. This resulting in total cash held at the end of the six-months' period of €366 million, providing us significant firepower for acquisitions. And further investment in the business, which will support future growth and value to shareholders. The Group remains debt-free with practically no deferred consideration, high cash balance and significant growth opportunities, some of which are only now beginning to surface, thus providing the Board with confidence for future outlook of the business. I'll now hand over to Mor for his operational strategic review.
Mor Weizer: Thank you, Ron, and good morning, everyone. A great day for us. As you have heard, Playtech has again delivered a very strong financial performance, driven by casino, sport and mobile, as well as multi-channel expansion. In fact, these are record results in terms of revenue and profit. In the period we were extremely busy executing our strategy, expanding our reach in regulated markets and into newly-regulating markets. And we continued to enhance our offering. Now, we haven't done just that. We enhanced it in an innovative way that is never seen before. Never seen before in our industry and maybe, just maybe, not even by other leading e-commerce environment. First, though, I would like to outline some significant developments that reflect the execution of our strategy, including new license agreements, extensions of relationships with existing licensees and additional, comprehensive, full turnkey and structured agreements. We were very pleased to have fully launched the Ladbrokes offer at the end of April. And it is satisfying to see the growing performance of its digital business, supported by all of Playtech's know-how and digital skill-sets. I would like to reiterate, though, that even on the current basis, before taking into consideration any expected growth from April, Playtech has started to see an immediate, material increase in royalties generated from Ladbrokes migrating from one of Playtech's competitors. It is still early days of a five-year agreement. And we remain confident of achieving much together and are encouraged by the first signs, as communicated to the market earlier this month. William Hill Online was our big calling card. And now with Ladbrokes people will understand that the transformation achieved with William Hill can be replicated. And others will benefit from this very exclusive and unique expertise that it is unparalleled in our industry. We are committed to excellence and innovation. And the bigger the challenge, the better. Our sales team was incredibly busy over the second quarter particularly. And have had several major achievements that reflect the market-leading and unique position Playtech holds. These include a contract win for the white-label solution with Trinity Mirror, covering the Daily Mirror and Daily Record brand for both casino and mobile in both mobile and online for the UK market. We have also announced today structured agreements with Caliente for the Mexican market. And with a major Italian-media brand. These agreements not only extend Playtech's bridge beyond software and potentially significantly increase the income from well-established operators in very important regulated markets, but reiterate the importance of PTTS and our overall service division to our strategy, going forward. And I will provide more details on those later in the presentation. Earlier in the first half we announced that we have signed Holland Casino ahead of new regulation coming in next year. During the second half we will be launching it with a playful, fun casino, as a way to build up its digital customer base ahead of launching live casino. And we expect Holland Casino's position in the Dutch market to be a very strong one, given its local presence. We were equally proud to sign, launch and extend our relationship with top operator Sky Bet, with our full casino and a dedicated live offering on top of the mobile services they already take. Finally, as part of our strategy to continuously improve our offering, we rolled out a business-innovation package that has produced significant results to-date for those licensees which took it. The innovation package, as its name suggests, is an innovative set of tools that allows operators to make decisions based on house data and data driven in real time, automating certain decision-making processes that were historically manual. Or, worse, based on trial-and-error practices instead of hard facts and data available. Enhancements include boosting player-acquisition rates by providing a more-engaging sign-up process. Using data-driven algorithms they are now able to automatically determine the most appealing customer journey for every individual player. Better predicting player value from sign-up. More accurately-segmented player base and better management of the player relationship, thereby lowering overall player costs and increasing player value. Additional notification tools have enhanced players' communication by enabling operators to contact players outside of their ever-crowded inboxes, as it is increasingly becoming common practice in our day-to-day lives. Playtech has introduced additional tools that use historic- and current-player data to present a tailored selection of games, recommending those games that the player is most likely to be interested in, in real time, thereby optimizing both the player experience and operator revenue. This is similar to what other leading e-commerce sites do and at times even better, as we introduce new concepts that cannot be found anywhere else. And at the end of the player lifecycle we have introduced innovative and proven methods to further reduce the attrition of active players. These tools are a winning, best-in-class combination of in-house development along with the third-party license product that we take. Customers deserve to get what they want and what -- and not what other people think they may like. And our new, innovative approach does just that. For example, we were amazed to see that many operators adopt trial-and-error methods and do AB testing. And invest significant amounts of time and resources and money on how their landing page should be organized to appeal to the customers, when we now know that people are less interested in that and will likely follow a very specific path. Now, I won't tell you what this path is unless you want to become a Playtech licensee. But I will tell you that those that already use it have seen a significant, positive change in their business as their customers have a better experience. And their usage and numbers improve. Operators talk about improving the customer journey. And the importance of providing them with the best service, knowing, at the same time, they lack the tools to do that. Others are too focused on playing catch-up and talk about improving past failures or try to protect their business through defensive moves. We have adopted a different approach. And one that we believe is necessary not only for Playtech, but for the industry. And one that will widen the gap between Playtech and its competition. We consciously decided to focus on what the future should look like. And have been creating the most-advanced tools and technologies that exist in the market place today, taking it all to the next level. Turning to our products, casino was again the key driver of the Company growth, with Ladbrokes, mobile and organic all contributing. Along with a strong current and future pipeline we have seen continued, significant growth from certain jurisdictions. These remain a significant growth opportunity, as markets actively consider regulating different formats of online gaming. And in one example where the company recently signed an agreement with the local operator, working under the local government's license to offer a number of Playtech products. The Company remains actively involved in identifying similar opportunities in other markets. Mobile gambling remains a core element of Playtech's growth strategy. And we aim to have the most-comprehensive offering to fulfill all of our customers' wishes. I'll talk further on mobile in a few minutes. In sport the first six months saw a strong increase of 35% over the comparable period, driven by new launches in H2 last year. And Ladbrokes going live with Mobenga in December. And launching online sports booth for Spain and Belgium in the first half of 2014. The Company also gained access to some other retail sports operators, given the appeal of its market-leading technologies and multi-channel offerings. Further development during the period saw the integration of third-party content and feed providers. In addition, the Company has partnered with a sports-solution supplier providing it with the access to not only new technologies that further support and strengthen its unique multi-channel offering, but also potential customers in some fast-growing, regulated jurisdictions. The performance of Playtech's sports platform over major sporting events this year has been incredibly satisfying. And the technology is now seen by industry leaders to be robust, capable of delivering all features and a credible alternative to existing providers. New contract wins with Caliente and a major media brand in Italy focused on sports are a part of a strong, future pipeline. The Group focus remains using the sport channel as a way into existing and newly-regulating markets. And our overall offer will be farther improved following partnership agreements, as well as some bolt-on acquisitions. The UK bingo market place is changing, as large sports brands turn to bingo as the player-acquisition tool and then cross-sell players to casino games within the bingo product. As a result, over a third of bingo players' lifetime value is now being generated from casino side games, benefiting the wider Playtech ecology. Accordingly, Playtech is planning to launch over 70 new, proprietary and third-party games over the remainder of the year for all channels via Playtech's open platform, where such games are currently offered through other open platform-content providers. The Group has also further developed its mobile and tablet bingo offering, which grew over 30% on the comparable period. Playtech remains focused on working with its licensees to create market-leading network promotions, continuing to improve bingo content across all distribution channels. And to expand the bingo product vertical geographically into newly-regulating jurisdictions. During the first half of the year Playtech also turned its focus to the broader, white-label segment of the market, notably winning and launching Trinity Mirror onto Playtech's bingo and casino platform, supported by Playtech services. We look for similar agreements in the UK and elsewhere. Playtech continued to invest in its iPoker network, working with its operators to trial its innovative initiatives that will boost the health of the network. And encourage operators to further invest into poker, improving player ecology and revenues for operators. The cost of player acquisition has benefited from initiatives launched by PokerStrategy.com, which is benefiting operators. We were also pleased to launch the most advanced poker tablet product at the very start of the year. Poker is small, but remains an important element of our overall offering, given that it is usually one of the first products to be regulated. Given some of the changes in the market, there may be short- to medium-term opportunities to expand the licensee base. We believe the value of technologically advanced integrated independent network remains valid, and will be strengthened and be even more relevant as we introduce a new rake distribution model. The expansion of Videobet into other markets remains a key focus for the Group, following the major focus over the first half of the year for the deployment of Playtech's unique multichannel solution for all 1,700 plus Coral shops, converging its land-based and online gambling offers. Players now use their connect card login on FOBTs, SSBTs, BiP, which is Bet in Play, and tablet and online, giving full visibility of players across all channels and enabling the operator to provide a tailored experience for each player. Now, Carl Leaver's comments last week on how Coral Connect has driven its business as these customers spend 2.5 times more than online customers are our best advertisement. And there is nothing ever as good as great public feedback from a top customer. Such conversion is already happening in other markets outside the UK. And we therefore strongly believe that such conversion capabilities between retail, web and mobile will become the common practice and present a great opportunity for the Company. There are also significant advantages from a regulatory perspective as automated, cross-channel limits can be set. And the operators have a more-comprehensive view of their players' activities. Some governments have already indicated their interest in such capabilities. Not only has player response been significant, attracting many new punters, but we have also received enquiries from a number of operators, both existing customers and new firms, to learn more about our multi-channel capabilities and offer. We are now focused on a selected number of additional markets where we believe Playtech's offer is superior to that of other suppliers, both in terms of technology and content. Mobile penetration accelerated through the first half and now represents 10% of overall revenue. Up 56% year-on-year, driven by mobile casino, which almost doubled and is rapidly catching mobile sports in terms of significance. I'm also pleased to be able to say that as of July, Paddy Power, Coral, Winner, Mansion and Paddy Power.it have launched Skywind powered mobile applications, with a pipeline of eight additional licensees scheduled to launch in the coming months. Mobile is becoming increasingly important channel in both existing and newly regulating markets, supported by technological evolutions such as the rollout of 4G services, as well as the increasing willingness and comfort of consumers to transact on their mobiles. We derive significant competitive advantage from being the market leader in the mobile space. Over the first half of the year the roll-out of Playtech's full suite of products was completed by Ladbroke. Following this initial phase, Ladbrokes is working hard to leverage the skills developed over the course of the last year and a half and market the business using PTTS methodologies and know-how. As well picked up by the market, the first positive signs are evident. And we expect to see the benefit of those skills and PTTS methodologies supplied in the coming quarters. We announced today new turnkey agreements in important regulated markets that are examined on the next slide. And together with additional contracts such as Trinity Mirror, will bolster PTTS revenues into the future. We have a strong pipeline of new deals with many of them requiring the full, turnkey-service solutions. This is especially prevalent in newly-regulating markets, where retail betting and gaming operators, media companies and land-based casinos want to enter the online-gaming space. Playtech's unique offering is of particular value to those -- to these parties. PokerStrategy has performed above expectations since acquisition, as the rate of revenue attrition has been slower than expected. That said, with new -- no new licensees signed in the first half of the year and the continued decline in this poker market, the attritions rate has returned to a more-expected trajectory. And revenues are likely to decline in the second half of this year. We have made significant progress this half in increasing our penetration into regulated markets. As well as the Ladbrokes launch, we have extended their offering geographically into further regulated markets such as Belgium and Spain. We have already mentioned our agreement to supply Holland Casino, the Dutch land-based gaming company in advance of 2015 regulations of the Dutch online-gambling industry. The white-label partnership with Trinity Mirror, one of the largest multi-media publishers in the UK, is also very notable. In software we have recently announced extensions to our contracts with SkyBet and RAY. SkyBet is a top UK operator. And we were delighted to add our full casino and a dedicated live offering to the mobile and bingo services they already take. Significantly, SkyBet was one of the last remaining, large players in the UK market to take Playtech's casino product. Finnish operator RAY has recently launched an innovative, live casino broadcast from their premises in Helsinki, featuring a fresh and friendly method of presenting dealers to the public as presenters. This is the second time that we have established live studios directly in the jurisdiction to comply with local regulations. Africa presents Playtech with opportunities, given that regulation is expected imminently, through the Group's existing relationships and other opportunities that are being pursued. In addition, there are a number of markets looking to regulate, including Poland, the Czech Republic, Hungary and others. While Portugal, South Africa, Ireland, Sweden, Switzerland and Russia are making progress in becoming regulated markets themselves. The implementation of the UK Gaming Commission regulation in the UK requiring licensees to hold an operator license is well underway. And we fully support our licensees in this process. We are also well on our way in obtaining the necessary supplier licenses. The Group remains focused on identifying new geographies and operators that present the potential to increase regulated income. As is evident in regulated markets, it is not enough to have good technology or a good set of skills for an online-gaming business to succeed. It needs all three components of a great brand, the right technology and the right know-how. And this week we also completed negotiations on two further structured agreements. Like London buses, you wait for ages and then two come along at once. I want to go into a little bit more detail. The first transaction is with Caliente, the largest land-based gambling group in Mexico, with around 40 casinos and sports betting locations. It will see the Group providing its retail sports betting software to 140 locations in Mexico and to 50 locations in 11 other countries across South America, for a minimum period of ten years. Playtech also has a structure agreement for the provision of a minimum five years of marketing services. Caliente is very special and has a strong position representing Playtech's best opportunity for a strategic partnership that exists today in the Mexican market, especially given its reach to market and processing capabilities. Secondly, in Italy, we signed a structured agreement with a major Italian media brand, with extensive digital media interest, making it an ideal partner for full turnkey solution and a structured agreement. The agreement lasts a minimum of five years and covers sports, casino marketing services and operational support. Further details will be given to the market shortly. While we do seem to be in a period of unprecedented consolidation among bigger industry players, I'd like to reiterate the board stance on capital allocation. We said last year that we would seek out further bolt on acquisitions and that we may do something more strategic if the right opportunity arose. To date, we haven't found deals that would have delivered the levels of shareholders value that we look to create. Strategically, nothing has changed. We remain unlevered with excess of €350 million in cash and our cash conversion ratio is over 100%. With no changes in key regulated markets, we believe there will be opportunities for acquisitions in the second half of the year. Both bolt on and strategic potential. We continue to look for targets that are available at an attractive multiple, are highly cash generative and operate in regulated markets. We look for acquisitions that are highly synergetic, enabling us to lever our many relationships with global blue chip operators, or to bring our complete operation and skill set to bear to drive forward and acquire business. At the same time, we will continue to invest into the business to maintain our competitive edge. It is imperative for Playtech to continuously announce its product offering, creating further opportunities for expansion and generating incremental revenue streams. This can happen organically, or by entering into partnerships as we did recently, to enhance our sports offerings. Finally, I would like to add that the board keeps the overall capital structure of the business under close review and will consider all tools at its disposal to maximize shareholder value. That ends our formal presentation for the morning and we would now be pleased to take your questions. Firstly, from the auditorium and then we will take any questions from the conference call line. As well, being broadcast this morning, could I please ask that you wait for one of the microphones that we have here? Thank you.
Alan Jackson: Victoria, would it be alright to, as everybody, would you just like to give your name and company, please?
Victoria Greer - JPMorgan: Morning. Thank you. Victoria Greer from JPMorgan. Firstly, on the two structured agreements that you've talked about in Italy and then with Caliente, could you perhaps give us a little bit more of an idea on the financials there? Should we be thinking about that as revenue share agreements, cash payments or a stake? Perhaps a little on the timings of the launches there, and then if any investment might be required. And then, secondly, on the innovation package and the improvements to the IMS that you talked about is that something that you'd be looking for an additional revenue share for some of your licensees to take up? Or is the intention there that it accelerates their revenue growth and therefore your revenue growth? Thanks.
Ron Hoffman: Yes, I'll answer the first question. I believe it's a bit too early right now to provide any projects or guidance with related to these transactions. I would say that these will require some patience until the maturity of the numbers will start to surface. What I can say is that we believe that they provide significant potential for growth in revenue on both the software side and the services side. And I mean we believe that these are -- both of these transactions have great assets in regulated markets, which will enable us to continue to grow the business. It's a bit too early to say. There are some immediate revenues that we will generate from, definitely from Caliente, because they do have an online existing online activity already. And we are also transitioning part of the retail, sports retail technology to Playtech, so that will happen towards next year, actually. So it will take some time, but it will generate some immediate revenues, but it will not be too material in the beginning. We believe that the real potential is twelve months down the line and onwards.
Mor Weizer: It will build up, though. And unlike other structured agreements that we had before, for example, not a structured agreement but the JV that we had with William Hill Online, we don't have any exit mechanisms, which means that we will become and will remain a strategic partner, a strategic commercial partner, to these companies. In other words, if they will want to exit that, there is obviously an upside for us, and we obviously took it into consideration and it is part of the agreement. As for the second question on the BI innovation package, the Business Intelligent innovation package, some of the components of this BI innovation package includes a lot. It's a different approach altogether, to improve customer journey, to give better tools, all automated, all data driven in real time, and the idea is to support our licensees. Having said that, some parts of the -- or some components of the BI innovation package will be given without any additional costs, such as the installers and maybe some other parts. Other parts, given their -- how unique they are, given the fact that they are packaged all together as a different model, will be given separately for those licensees that will want to take it for an additional fee. Obviously the models can vary between a fixed fee to a revenue share and this is all based on conversations we hold now and are underway with some various very big operators.
Vaughan Lewis - Morgan Stanley: Vaughan Lewis from Morgan Stanley. I think I asked this at the full year results, but are you just being too greedy on acquisitions? Are you trying to pay too low a multiple? Is that why there haven't been any deals? And when you say nothing meets your criteria, what is your criteria in terms of returns that you're targeting on acquisitions? Second one on the organic pipeline. I think, at the full year results, you said that was a record level. Is that some of these openings coming through and then what's the, sort of, future pipeline looking like, of deals on the software and the services side? And then, finally, what's the trends on pricing on average, I suppose, with the sort of increased growth in casino? Are you seeing a bit of pricing power? So, renewable contracts could even go up?
Mor Weizer: Yes, absolutely. Indeed, it was a very, very busy first half of the year. So we had to obviously present all of that, which took a little longer than what you expect in interims. But we are happy that we are in this position obviously, because these are the building blocks for future growth and a lot of those happen in the last few months. In terms of [indiscernible] about M&A, it's about delivering the strategic opportunity that will allow us to take the business to the next level. As I indicated, we have a lot of cash, we have the capabilities and we want to combine the two in order to maximize shareholder value. The way we approach it is obviously attractive multiples we wanted. Or, in other words, it has to be accretive for our shareholders. It needs to be synergetic to the business and it has to be highly cash generative. We are less interested in businesses that generate a massive EBITDA line but not produce any dividend to our shareholders. Or, in other words, the cash conversion is very low. We are more interested in companies that can be bought on a reasonable multiple. We do understand that it can be four or three. It has to more than that, especially in regulated markets, because companies deserve that. Not a lot more, because we know how to negotiate, but we want to think that this is the case. But we prove to deliver a lot of acquisition on a six to 6.5, sometimes seven times basis, even in the UK and this is what we aim at. If we need to pay a little bit more than that, so be it, as long as we know that it's synergetic to the business and the multiples can be further reduced by combining the software services to this business, or create operational leverage. In terms of pipeline, the pipeline continues to be very, very, very strong. We indicated this morning five customers that launched the Skywind powered mobile applications, with eight in the pipeline already signed, ready, will be deployed soon. We are talking about between weeks and in the coming few months. I didn't even bother to mention various other opportunities or not really opportunities but new customers that we signed in retail, for retail sports betting and online sports betting in Eastern Europe and other countries within Europe. We are doing the same now in Africa. So I think there is a lot to expect in terms of pipeline and this will build up over time. I think that the evident success of Coral, with the Coral Connect, our evident success in Belgium and in Spain, already now and the expected success of Caliente in this major Italian brand in sports, will only drive the momentum forward and will further support and strengthen that. In terms of pricing, we haven't seen real -- actually, when it comes to extension we usually keep it at the same level. Yes, we have a lot of leverage, I believe, but we don't want our licensees to feel this way. We want them to understand that if they want, if they feel comfortable approaching us on the current basis of their business and what they pay us, and extend beyond that to other areas of the business, this is the way for us to further strengthen relationships. That we don't see any pricing pressures on them and we don't see pricing pressures in other regulated markets, or new opportunities.
Richard Stuber - Nomura: Hi, Richard Stuber from Nomura. Just one quick question, please. Could you just clarify what proportion of revenues now from regulated versus unregulated markets? Thank you.
Ron Hoffman: Yes, of course. It remains at the same level as it was in Q1 at the year-end, so 35%.
Simon French- Cenkos: Morning. It's Simon French from Cenkos. Two questions, please. Firstly, you've made very good progress in sports, but in terms of the other product vertical you've been looking at, lotteries, is there anything you can update us with there, please? And then, secondly, just on the revenue splits, Asia has obviously seen tremendous growth in revenue at the expense of other territories in the half. Can you just give us a little bit more indication of which particular countries within Asia, please?
Mor Weizer: Yes. So we wanted to keep one or two things for the final results, but I will refer to lottery. Lottery was one of those. It's still very early stages for us, and when we look at the market we realize that sports in markets where lottery exists is growing even faster. So we turned, to some extent, our efforts into sports, although we do that with some lottery operators. And we see -- we still see a long term, a medium long term opportunity with lottery providers, knowing that we have the right product for them, knowing that the shift to mobile and online. Look at Camelot, look at other leading operators across Europe and elsewhere, where it's all driven where it is allowed, all driven by mobile and online. And we definitely intend to participate in that but it's too early to talking about it. It's a building block for future growth, it's a medium longer term approach that we take. We are happy that, you know the giants of this industry, the likes of GTECH and Scientific Games and Intralot are now -- they do understand the importance of gaming. They do understand, or reiterate, our unique position and how best we are positioned for this market. It will obviously, their investments into gaming will divert some of their attention there, so it leaves us with an opening. But I'm not stupid or arrogant enough to say, or naive enough to say that we are coming after them, it's not the case. We will slowly understand the market, this is a different market, but we are very much interested as part of our strategy to further diversify our business. But again, it's a medium longer term approach that we take. In terms of Asia, Asia is actually very similar to Europe five years ago and it's -- a lot of talks have been -- a lot of conversations have been held recently about certain markets going and becoming regulated. I'm happy to say that I refer to certain jurisdictions and particular operator operating under local government license. This is in one of the Asian markets. And I should have put a lot of emphasis on that, but this is what we expect going forward. In a few years' time we do expect this initiative to grow in number and in significance and our presence and understanding of the market gives us an opportunity. In terms of markets, the markets that our operators operate, it's divided into two. They operate mainly from the Philippines and Gibraltar and other UK listed jurisdictions. And they offer their services across all of the region but mainly in the Philippines under the local license. And as we indicated in our prospectus, Malaysia and China remain markets that we operate in.
Simon Davies - Cannacord: Morning. Simon Davies from Cannacord. Three from me. Firstly, can you strip out the impact of FX on revenue growth? Secondly, can you update us on the potential impact of point of consumption tax in the UK? Are you in discussions with multiple licensees about sharing the pain? And do you have any feel for what the potential full year impact could be? And, finally, can you give us an impact on social gaming and progress there?
Ron Hoffman: Yes. So, I'll start with the FX on revenue growth. As we indicated, we had double digit growth on both revenue EBITDA and profit. Also, when excluding the effects on -- of the FX it's actually on the second slide. It was basically 14% growth of the revenue. So this is excluding any effects of the change in the exchange rate. The second question was? Apologies.
Mor Weizer: The impact on the UK from a financial perspective.
Ron Hoffman: The PoC?
Mor Weizer: Yes.
Ron Hoffman: Yes. So, I would say it hasn't changed from how we communicated in the past. Most of our agreements, which were drafted and signed before the introduction of the PoC, before this was even an idea that was in the air. Therefore in most cases we don't have any contractual obligation to take any of the PoC hit. With that being said, we understand that we live in a competitive market. We do understand the fact that, in other regulated markets we do share some of the pain, I'll call it, of the gaming taxes introduced in those markets, such as Italy and Spain and Denmark and France, etc., etc. Therefore, we do understand that, although we don't have a contractual obligation, we are open to having an open discussion with our customers. And coming up with a formula that will be beneficial for both sides. The maximum effect, if we take all of the hit related to the introduction of the PoC tax is maximized at a level of €14 million to €15 million annualized revenues. So, that's something that we can definitely cope with. In addition to that, I would say that it is -- we believe that we have already the firepower to mitigate the effect of that, because, A, we have new customers in the UK, including Sky in casino and live, including Paddy Power Live, including continued growth in Gala Coral definitely on the back of the multichannel cross -- on the cross channel products, and Trinity Mirror and other factors as well. In addition to the fact that we believe that there will be a shift in the market, following the introduction of the PoC tax, as most of the smaller operators we believe will not have the margins to cope with the effect of the PoC tax. Therefore, the bigger operators will dominate the bigger part of the market. And therefore Playtech will enjoy out of that because we service all of the bigger licensees, pretty much now, after Sky we service all of them with all of their -- with pretty much all of our major product verticals.
Mor Weizer: We also see an opening -- we also see an opportunity to replicate what we are now doing with Trinity Mirror. Because various operators and media brands will obviously pick a partner that can reduce the operational costs and provide them best of class, still best of breed, best in class product and services. And given the fact that the margins in the UK are lower than other jurisdictions, they will look for someone like Playtech that can provide it to them. And I think we missed one operator that will be in the coming quarters, even very big, even by far bigger for us, Ladbrokes, which we already -- is already quickly becoming one of our five largest customers. And this is going to accelerate on the back of the execution of their strategy and leveraging -- as they leverage all the expertise and methodologies that are now part of the Ladbrokes organization. And this is, before talking about mitigation factors that were described in lengthy by operators. I think that we are in a very good position. I believe that we sit here in six and 12 months' time and we will be happy to report that Playtech grew its business in the UK and it won't be the other way around. Pricing pressures I think won't touch that. On social gaming again, some progress has been made. We are still in the soft launch phase. Life cycle value should be in line with other operators. This is an ongoing process as part of which, in any social environment, you first launch the product, you create a viral environment around that product; thus far reduce the acquisition costs. You then work on stabilizing, or not stabilizing, but reaching a level, an expected level of player value. And only then you put a lot of marketing effort and invest a lot of market funds into it. We are in the process of, we launched the product, we created the viral environment, we are now in the process of increasing the player value. We are getting there. We are getting there quickly. And soon after that we will start putting money into that and we expect it, over the course of the next six to 12 months, to grow into something that will be more material. Again, something that I believe we should talk about, this is a building block for future growth. We know that other companies have been very successful with their social initiatives and we intend to replicate that. It will take time to grow it into a significant income stream, but we believe that we have the right expertise and the right product out there already now.
Alan Jackson: Take that, then we'll get down to the next one.
Tal Grant - UBS: Hi, good morning. Tal Grant from UBS. Three questions from me. I think Victoria may have asked this already but I missed your response. So, on the marketing side, for the new structured agreement, you said you'd invest in marketing activities. Could you just give us a rough idea of how much you think you'll spend there, next year, say? So, across all your structure agreements, maybe including Ladbrokes? Secondly, the FX seems to have positively impacted margins. I was under the impressions that your revenues and costs were similar in sterling. Could you just give us the sterling percentage of costs? And finally, your M&A contribution all together was €13.6 million, €12.1 million from PokerStrategy. So was the other €1.5 million from the assets you bought in TNT, and so also in services?
Ron Hoffman: Okay. So, let me start. With respect to marketing activities on the new partnership transactions that we just signed, I would say that over the -- when it will commence, basically, i.e., the combined investment in the next 12 months following the beginning of the activity, it will be anywhere between €10 million to €15 million, all together, as our investment, our part of the investment into the marketing. This will be the maximum effect on us with respect to that. And obviously that's before getting any REV share from both the services and the software side. The sterling effect, its balance on the percentage of revenues, or close to the balance of the percentage of revenues compared to in the revenues and in the cost and it's approximately 27% of revenues today. So obviously the fact that revenues are much more significant, it has an effect on the EBITDA as well. And your last point being, sorry?
Alan Jackson: M&A.
Ron Hoffman: On the acquisition?
Mor Weizer: Yes.
Tal Grant - UBS: Yes, just for clarification.
Ron Hoffman: Other acquisitions are Euro Live, which was basically the company which is facilitating the live facility. I think some of you have visited that a while back ago and we basically purchased that as part of Playtech finally did that, which is sort of restructuring rather than anything else It was generating marginal profit but it is generating some revenues and costs. So that's one of the additions. And the other acquisition was a company called Psiclone, which is a small business but it is providing content for retail games, basically, which is also a good addition to our retail division and generating some revenue growth as well.
Tal Grant - UBS: So acquired services revenue was just €12.1 million?
Ron Hoffman: Sorry, again?
Tal Grant - UBS: Acquired services revenue was €12.1 million?
Ron Hoffman: Euro Live is also under the services. It's a facility, basically, which was acquired by the services division. So the combination of Poker Strategy and Euro Live is under the services division.
Tal Grant - UBS: Thank you. And, sorry, the €10 million to €15 million, that was for all four agreements, not for each one?
Ron Hoffman: Not for each one. Not for each one. For three agreements.
Ed Birkin - Credit Suisse: Morning, it's Ed Birkin from Credit Suisse. Just want to clarify the Philippines revenue you class as regulated. Is that correct in that 35% number you gave for regulated revenues? And, secondly, just in terms of your capital allocation, I noted at the AGM you passed a resolution allowing a share buyback. And given how long you've had the cash on the balance sheet and the criteria that you have for your acquisitions, do you have any even loose timeline where you'd look at it and say, right, enough's enough. We've had the cash, haven't identified any targets, we're going to start doing some more cash returns. Thank you.
Ron Hoffman: Yes. The 35% regulated revenues are not including the revenues from the Philippines but there are obviously, you know, once the activity [indiscernible]. I think Mor indicated basically that that transaction that we're now entering into, which will be under a fully regulated license in the Philippines and that will be obviously regulated revenue stream that will be added to the portion of our regulated revenues.
Mor Weizer: In terms of capital allocation, obviously, yes, we did approve and our shareholders supported us, approving us the capability of doing a share buyback. Obviously it's for the board to consider. And obviously we monitor closely the movements in our share price. There are only very limited windows of opportunities for us to do that. We continuously monitor that and we definitely believe that there is expected growth coming and we will consider doing a share buyback if the opportunity will present itself and it's something that's being discussed on a continuous basis. We put a structure in place in order to do that at a board level. In terms of other distribution of cash, again, this is an opportunity we prove the market that we will not hesitate. We distributed a special dividend earlier this year. Having said all that we are very -- we remain opportunistic, we remain acquisitive and we remain on growing the business, the core business and our business by doing something strategic that will take us to the next level. It's always trying to find the right balance between those and all opportunities and all alternatives are being considered by the board.
Ed Birkin - Credit Suisse: Okay, thank you. Just a quick follow up on the regulated revenues. Given that €30 million of your €40 million revenue growth came from Asia, which is all unregulated, I'm just trying to understand how you still have 35% of regulated revenues hasn't shifted. Has there been a big shift within the European revenue stream, from unregulated to regulated? Or am I just missing something?
Ron Hoffman: The answer is definitely right. It's on the back of growth coming from Ladbrokes and Gala Coral and pretty much all the UK customers as well. Also, the PokerStrategy acquisition is also adding to that. So all together, the portion of regulated has remained the same on the back of growth in regulated market as well. There is a transition in Europe from unregulated to regulated. We see that.
Ed Birkin - Credit Suisse: Okay. Thank you very much.
Ivor Jones - Numis: Thank you, good morning. Ivor Jones from Numis. Mor, when you were talking about the concentration of revenue, you said something about the business of the major licensee had changed. I'm not totally sure I got what you said. Was it that they had pulled out of certain markets? Has their contribution fallen in absolute euros? Perhaps you could talk about that, please?
Mor Weizer: Actually, Ron said that, so Ron will answer that.
Ivor Jones - Numis: Sorry, I was looking down at my notes, not looking up.
Mor Weizer: No, that's fine, that's fine. Technical [multiple speakers].
Ron Hoffman: The answer is correct. One of the major licensees has made a decision to refocus its business from unregulated towards regulated and made a decision to exit certain markets, and it is affecting their numbers. And it was mitigated by the fact that other operators have grown their business significantly, which balanced the situation and reduced the concentration around the top licensees.
Mor Weizer: And this is the beauty of our business. This is the diversity you see in the Playtech business. While operators decide to transition from unregulated to regulated, pulling out of unregulated markets towards -- and putting their efforts into regulated markets, we still manage to grow the business by a lot of initiatives. We talked a lot about a lot of initiatives that happened in the first half. All of those, if you think about it, are focused on regulated markets. Now, at the end of the day, some of our unregulated income streams still grow and grow fast, given the fact that some of the markets that have not yet regulated and we hope will and expect to be regulated over the course of the next year, still grow. But we definitely intend to continue focusing on regulated markets. Our initiatives are solely on regulated markets, our money is invested into regulated markets and we expect this trend, a very positive trend, to occur in the next few quarters and years to support that.
Ivor Jones - Numis: Thank you and perhaps continuing on that theme of shifting to regulated markets, could you talk about Italy over the next twelve months? So I think at the full year results we were talking about needing to stop providing services to unlicensed operators into the Italian market. I think the deadline shifted back and I think it's coming up at the end of the year, but what should we be thinking about in terms of impact?
Mor Weizer: Actually most of our operators already closed their sites from the beginning of this year. There was a transition period providing them with a capability to allow their players to withdraw their money. There was a short window of time to do that. The vast majority of our operators are already fully closed in Italy. There are only a couple; I think it is three customers that are in the process of obtaining a local license. And this is done all together and in close cooperation with the regulators. We take a very proactive approach in each unregulated market, we talk to the regulator, we understand what and how it should be done. And we are happy to say that we feel very proud about that. So it's not very significant -- it's very insignificant for us, what remains, and this is just for the sake for them. It is a process that they have to go through. Licenses are not issued anymore. They have to buy a license. They have to go through all the certification process. They have to go through what is called Callado, which is the final tests for the certification. This is underway. It's just a matter of time. Altogether, Italy, this portion of the business is very, very, very small and insignificant. And therefore I wouldn't -- you know it's something that will happen and we have four months for that to happen. Some will do that by the way before the year end; as soon as they get the license they go live and close it down. Over the course of the next 12 years, we do expect on the back of --
Alan Jackson: 12 months.
Mor Weizer: 12 months, sorry and 12 years, but 12 months definitely, you see, we always take a longer term view of things. Vision, vision, I was told. So, altogether in Italy in the next 12 months, I do expect the market to grow, given certain initiatives and more products we give to our licensees. You see very strong momentum with European operators and UK operators like Paddy Power and William Hill publishing [indiscernible] 365 soon, establishing themselves in Italy. And definitely this will further support our growth in Italy. It remains a very, very important market for us. Actually one of the top priorities outside of the UK. Not least because we just entered now into a structured agreement with a very major media brand. One that is very much focused on sports with very important assets related to that. So we see that as an opportunity.
Ivor Jones - Numis: And last one. You presented lots of information about product verticals, and we all keep asking questions about geography. So perhaps I can ask the same question but in a different way. If I've got my maths right, and it's sometimes a bit hit and miss, Europe revenue growth was about 8%, and there's something in that for euro Live and for PokerStrategy. And quite a lot of the commentary in the press releases about good stuff in Europe, the addition of Ladbrokes, enhancements within Coral, signing Holland Casino, so a lot of talking about the drivers of the European business. Do you think you could try and talk to us about what the Europe business looked like on some kind of underlying basis in the first half? Because it seems like some parts of it probably were going backwards and is that the future for Playtech in regulated markets, it needs to add new contracts and businesses to fill in a hole that's being left behind from shrinking revenue? What's going in within Europe?
Ron Hoffman: I think the answer is the transition, the transition to regulated markets. It's exactly what's happening. We have indicated the fact that some of our customers are exiting certain markets, non-regulated markets, in a view of entering into other regulated markets. Bet365 is just one example of that, right? Bet365 in Italy is just one example of that. There are many, many others. And the effect of that is reduction in Europe in certain markets versus new business and increasing other markets But it's a transition period, so there is an effect, obviously, an immediate effect of the drop from unregulated markets in Europe. And there is an increase on regulated markets in Europe. The net effect, which you are completely right, when we are excluding acquisitions, PokerStrategy and euro Live and Psiclone altogether, it's basically pretty much flat, Europe. But it's a good flat because it's more regulated flat, rather than it was before. And it's now the basis for the new growth in Europe because Ladbrokes is now growing much faster and Gala Coral is growing and Sky is just commencing, and Sky Live is just commencing as well and many, many others. So I think these are good news for us
Mor Weizer: I do want to reiterate one point. This question is very valid and very important for the industry altogether. It's not Playtech only for Playtech. What you see, what Playtech represents today is the largest distributor of online gaming and betting product in activities across this industry. It's a true reflection of the performance of the most well established operators in the market. Whether it is the 888 and [indiscernible] party and then in - these are pan European obviously but then you have [indiscernible] and you will hear about the big one, another big one, the missing one, in Italy soon. And then you have obviously all the UK ones, the William Hill and Ladbrokes and Coral and Paddy Power and BetFair and BetFred and the list goes on. I hope that I didn't insult anyone, if I forgot anyone. They are all dear to us. I will say that at the end of the day it is a true reflection of what's happened now. It is becoming more challenging as they move from web to mobile, as they penetrate more markets. We saw that a lot spend more marketing. We saw that this morning, we saw that earlier this month with other operators increasing their marketing investments. But it is a transition. But this is the right thing for the industry and Playtech plays a key role in this and people understand that we are the best partner to do that with. So it's only a natural step for the industry and Playtech plays a key role within that. And we expect Europe to grow, we expect to enjoy the growth and the initiative and as I indicated earlier there are a lot of those initiatives. The focus remains the same. The fact that the other parts of unregulated [indiscernible] grow are simply because some people still do that. Happy to say that these are blue chip companies that we do this business with and they divide and allocate the marketing funds accordingly. But their focus as well is regulated markets and we will enjoy that.
Ron Hoffman: And that, we'll continue as well on the back of the PoC. You know, we will have the effect of PoC but we have new business and we have more customers in the UK and in Italy and we have the new agreements in regulated markets which will mitigate that.
Alan Jackson: The last question, Richard?
Richard Stuber - Nomura: Thanks. Richard Stuber, again, from Nomura. Just a follow upon the regulated parts. Could you shed some light on any discussions you've had with the UK regulator in terms of gaining a supplier's license? And at the moment, do you see any obstacles to get the full license? Thank you.
Mor Weizer: We are not aware of any obstacles. In fact we believe that the discussions are very positive. They understand the role of Playtech, they understand Playtech. Obviously Playtech is a big group with a lot of product lines. They have to go through a process as you expect from a regulator. I'm happy to say that there are very good discussions and as -- ad it is within obviously a broader context of us investing heavily into the relationships with regulators, so they will feel very, very comfortable with our business. I don't see any hurdles. It is expected. It is imminent. It should happen between now and the beginning of October and we believe and we are very confident that we are in a good position and will be granted with a license.
Alan Jackson: Are there any questions on the outside line?
Operator: There are no questions on the telephone.
Alan Jackson: No? I'm sure Mor and Ron will be very happy to talk to you individually, place your bets. Share price seems to be going very nicely. Thank you all very much for coming along. And no doubt see some of you tomorrow. Thank you very much. Bye, bye.